Operator: Good morning, and welcome to the Heliogen, Inc. Second Quarter 2023 Conference Call. As a reminder, today's call is being recorded. [Operator Instructions] I would now like to turn the call over to Louis Baltimore, Heliogen's Vice President of Strategic Finance and Investor Relations, for opening remarks and introductions.
Louis Baltimore: Thank you, operator, and good morning to everyone. We're glad you could join us today for our second quarter 2023 conference call. With us on today's call are Christie Obiaya, Heliogen's Chief Executive Officer; and Sagar Kurada, our Chief Financial Officer. Heliogen issued its results yesterday afternoon in the press release that can be found on the Investors section of our website at heliogen.com. As a reminder, our comments on this call include forward-looking statements, which are subject to various risks and uncertainties. These statements include expectations and assumptions regarding the company's future operations and financial performance, including implementation of the company's strategic plan and growth initiatives, plans to prioritize sales of the company's industrial steam project and installation of commercial scale projects, expectations for scaling the company's concentrated solar thermal technology, discussions with potential customers and commercial contract progress. Actual results could differ materially from those contemplated in the forward-looking statements. Any forward-looking statements that we make on this call are based on assumptions as of today, and we undertake no obligation to update these statements as a result of new information or future events. Factors that could cause actual results to differ materially can be found in yesterday's press release and other documents filed with the SEC by the company from time to time. During this call, we may also refer to certain non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. More detailed information about these measures and a reconciliation to the most comparable U.S. GAAP measures is contained in the press release issued yesterday, which is available in the Investors section of our website and is furnished on Form 8-K with the SEC. A replay of this call will also be available on the Investors section of our company website this afternoon. And with that, I'm pleased to turn the call over to Christie.
Christie Obiaya: Thank you, Louis. Good morning to you all, and thank you for joining us. Let's start by turning to Page 4 in the presentation posted on the Investors section of Heliogen's website. This slide essentially captures Heliogen on a single page. I'd like to begin by reaffirming our core mission, which is that first slice highlighted in orange on the page. Heliogen is on a mission to help decarbonize industry and enable a sustainable low carbon future. We're positioned to do this through our unique combination of concentrated solar technology, thermal energy storage and artificial intelligence, which allow us to produce dispatchable green energy in the form of heat, power or hydrogen. Now over the next five minutes or so, I'm going to walk through slides, which essentially double-click on other slices from this opening page; our product and value differentiators, our market focus and our offering. Turning to Slide 5. Here, I'll describe the needs we see in the market and how Heliogen's products can meet those needs. First, let's talk about heat, which includes steam. 30% of industrial heating applications require heat below 100 degrees Celsius, while another 27% can be met with heat between 100 and 400 degrees Celsius. In most cases, the on-site production of this heat is vital in order to minimize wasted heat that gets lost in transport to the point of use at the customer. We specialize in producing and delivering green heat because our energy starts as heat from the sun. Our first products will serve saturated and super-heated steam applications of up to 550 degrees Celsius. This capacity enables customers to avoid high fuel costs, enhancing both sustainability and financial viability. Longer term, we see huge potential for the high temperature heat products that are on our future product roadmap as we've already proven at our demonstration-scale facility that Heliogen's technology can generate temperatures in excess of 1,000 degrees Celsius. High temperature applications are especially compelling because they can address industries like cement and steel, which are among the most significant contributors to carbon emissions specifically because their high temperature processes are currently served almost exclusively by burning fossil fuels. On the power side, the need for on-demand electricity is ever present and tends to be much more universally understood as compared with heat. It's not a surprise to most that industrial and utility load serving assets often require continuous power. So, a resilient economical grid-independent solution with 4-and-plus-hour duration is essential. And the market has finally started to incentivize this commercially for renewable sources of power. Our power products will produce dispatchable electric power that is competitively priced inclusive of storage. Turning to green fuel, with around 95% of all hydrogen currently produced with fossil fuels, the call for green hydrogen has intensified. Heliogen's ability to produce both green heat and green power makes us uniquely suited for harnessing the efficiencies of a solid oxide electrolyzer to produce green hydrogen, which can leverage both steam and power as essential energy inputs for splitting the water molecule. Now on the right side of the page, let's delve into the differentiators that set our products apart. Strategically, our solutions offer high capacity factors of up to 100%; low energy storage costs, no reliance on rare earth minerals and greater than 85% recyclability. We are also well positioned to leverage regulatory incentives in the U.S. via the Inflation Reduction Act and many others abroad. Operationally, our AI-enabled closed-loop tracking for the Heliostat field leads to over 30% more efficiency per square foot than traditional solar PV without the thermal runaway fire risk associated with battery storage solutions. Our products are designed to use widely available materials with a diverse supply chain for stability and scalability. Finally, the modularity of our systems solves for scale by enabling tailored solutions to serve behind the meter needs for both small and large customer applications. Modularity also enables easier permitting and maximizes the ability for us to reapply engineering work and lessons learned from project to project. By aligning our solutions to the critical needs of our customers and differentiating our offerings through strategic and operational innovation, we are building a robust platform for growth within a massive addressable market opportunity. Moving on to Page 6, we'll explore Heliogen's value proposition through the lens of the different industries our technology can serve. Our technology is applicable and customizable across diverse sectors. The metals and mining industry is responsible for nearly 4% of total final energy consumption globally. And given the prominent role that critical minerals play in the energy transition, it faces a pressing need to use more sustainable energy sources. Heliogen is primed to replace aging fossil fuel energy production assets serving this market. Legacy renewable technologies have been an imperfect substitute to dispatchable fossil fuel energy sources. Our solutions for demand year-round can maximize the integration of renewables with low carbon electricity. We're prepared to fully integrate our concentrated solar power with solar PV and storage for optimal levelized cost of energy inclusive of storage. This integration offers a new standard that can be utilized by both utilities and industrial operators with on-site power generation. We're working to forge solutions-oriented partnerships with other service providers and vendors, along with clients that have a need for decarbonization that Heliogen technology can solve. I strongly believe in all of the above strategy is necessary for the world to achieve its ambitious and growing net-zero goals. And the attributes I've outlined here show why Heliogen's technology can be an essential contributor to achieving these goals. Let me now take the time to describe our commercial offering. Page 7 lays out how we operate today and provides a glimpse into our vision for the future. Today, we develop and sell turnkey projects which deploy Heliogen's core technology. This includes planning, designing and overseeing the installation of the projects to ensure that they are functional and ready to use. Taking on these roles helps us control our own destiny on our early commercial projects, and we will work closely with our customers to align our solutions to address their unique needs and pain points. Then upon start of operations, we can provide operations and maintenance support through a long-term service contract. In the future, we expect our business model to shift more towards a licensing approach, where we sell technology packages, which may include our Heliostats, our proprietary software and integration services. We expect to partner with third parties on project development and physical deployment under this business model, and this will help us amplify our reach and accelerate our market penetration. Now I'd like to share an update on our strategic priorities as summarized on Page 8 of the presentation. We've made significant progress since our last business update. Our first priority is to close sales contracts. In June, we signed an $11.2 million sustainable green hydrogen offtake contract with the City of Lancaster, California. This represents not only a commercial milestone for Heliogen, but a shared vision for a cleaner future with the city as our partner. Looking ahead, our current prospects pipeline has grown to 825 megawatts with 700 megawatts added since our last conference call in May. This remarkable expansion reflects the progress our sales and commercial team have made and positions us for securing additional customer commitments. Our second priority is to install our first commercial scale project, which will open up access to new prospective customers as well as continuing to help us evolve future generations of our products. This priority underscores our commitment to translating vision into tangible results. We're targeting groundbreaking by year-end, setting the stage for the construction of our pioneering green hydrogen project. We're executing on a well-calibrated plan to achieve mechanical completion by the end of 2024 and commence the first hydrogen production during the first quarter of 2025. Over the upcoming 90 days, we'll be focused on our permitting and long lead equipment activities. Our third priority is to extend our liquidity runway in order to position for robust growth. The cost reductions that we actioned at the end of the first quarter are now being realized. And in parallel, the shelf registration that we filed earlier this year is now effective and preserves optionality for how we add growth capital to the balance sheet. If you'll turn to Page 9, you'll see we have outlined our commercial pipeline on the page for the first time. What you see on the page is a summary of our sales and marketing activity. This is how our Chief Commercial Officer, Tom Doyle, and the commercial team now manage the pipeline internally. And going forward, we'll continue to status and share this with you as part of our business update on subsequent calls. There are four stages named at the top of the graphic, and we've defined those stages based on the status of engagement with each prospective customer. We only categorize an order as booked if we have a fully signed contract with the performance obligation under the sale. In terms of the big picture, we have a total of 825 megawatts across 22 potential customers. We've more than doubled the total number of potential customers in the pipeline. In terms of megawatts, we've grown that number by over 6 times with our focus not only on adding customers, but on prioritizing those who may have energy demand across multiple operating locations where Heliogen may be a fit. So, the average capacity per customer has increased. Let me take a moment to explain the stages of the pipeline. Each stage is defined based on the progress of engagement with the customer. In the lead generation stage of our sales pipeline, we are discussing site-specific details of the customer. We're in discussion about their goals, their pain points, their technical wants, and we're conceptualizing the approach to integration. As those interactions progress, we'll receive more detailed information from the customer that we use to generate an indicative proposal that we then submit. We currently have six customers in this submitted proposal stage encompassing 34 megawatts. The next phase in the pipeline is the pre-final investment decision activity stage or the pre-FID stage. By this point, it will often be the case that we'll have a letter of intent or a memorandum of understanding in place that outlines mutual intent between Heliogen and the customer. We progress through the necessary steps to help the customer make a final decision. This may include activities such as engineering design work, providing the client with a detailed equipment layout and providing details on the scope, schedule and cost estimates. Where possible, we'll structure these as customer-funded activities. The duration of pre-FID work will depend upon the type of customer and the nature and size of customer commitment. For example, for some projects, the customer may need to take the decision to their Board of Directors for approval. After executing a final contract, we move into the execution phase of the project. We currently have two customers in this stage. That includes the Proxima green hydrogen contract as well as the Capella project with Woodside Energy, who continues to be an exceptionally strong partner for us. Projects in the booked order stage enter our revenue backlog. I mentioned last quarter that we augmented and reoriented our sales team to grow our pipeline, and the numbers on this page are a testament to those improvements. As we work to close additional contracts, we look forward to updating you on our progress in the coming quarters. Before we move on to the discussion of our backlog and financial results, I'd like to introduce Sagar Kurada, our new CFO and Head of Strategy, and to express my deep appreciation to Kelly Rosser, who graciously served as our Interim CFO and has now returned to serving as our Chief Accounting Officer. Sagar brings more than two decades of experience in industrial decarbonization and renewable energy, and he has a proven track record of developing and implementing financial growth strategies for disruptive companies in this space. Sagar, over to you.
Sagar Kurada: Thanks, Christie. Good morning, everyone. Continuing our review of the second quarter business performance, allow me to direct your attention to Page 10. As Christie mentioned on Page 9, we have today 7 megawatt and three projects in our contracted backlog, representing $75 million in anticipated sales. Our backlog has grown approximately $10 million since the first quarter earnings call. On June 6, 2023, we announced our green hydrogen contract, adding $11.2 million in backlog in the second quarter. This will be our first installed project. It will be in the City of Lancaster, California, and will fuel their municipal fleet. We refer to this project as Project Proxima. Proxima is expected to achieve mechanical completion at the end of 2024 with first production in the first quarter of 2025. Additionally, at the end of second quarter, we have $63.5 million of backlog remaining on our original contract to develop a turnkey green energy production facility sponsored by Woodside and partially funded by the Department of Energy. We refer to this as Project Capella. Lastly, we have a partnership with Dimensional Energy for a remaining backlog of $0.5 million to develop sustainable aviation fuel. In the second quarter, we recognized $1.4 million of revenue, largely attributable to Project Capella for $1.1 million. In addition to the $75 million, we have been selected to receive a $4.1 million award from the DOE that aims to reduce the carbon emissions associated with cement manufacturing by decarbonizing the heating of limestone. We also have a contract with NantG Power to provide up to $5 million in engineering services, paving the way for them to purchase a commercial-scale calcination facility. These services include field testing, development of a technoeconomic model and design services. In the next two pages, I will talk you through the second quarter financials. Let me direct your attention to the right-hand side of Page 11. We earned $1.4 million in revenue in the second quarter on Capella. Over the lifetime of this contract, we will earn $80.6 million. We have thus far recognized $17.1 million, leaving a backlog of $63.5 million, which we expect to recognize through 2026 as we work to complete the project. Moving to SG&A. We recorded $17.7 million on a GAAP basis. SG&A includes $3.3 million of non-cash expenses, $1.4 million of unusual non-recurring items and $0.9 million of project costs related to Proxima and other long-term projects. Adjusted for these items, we recorded $12.1 million in SG&A. This is a 14% reduction relative to the comparable costs in the fourth quarter of 2022. We continue to manage our R&D efforts to focus on methodical product development to deliver on commitments to our existing and future customers in our pipeline. Moving on to Page 12. We ended the second quarter with $108 million in liquidity, including $44 million in cash and $64 million in investments. Year-to-date, we received $8.8 million in cash for projects underway and we expanded project development expenses of $8.5 million. We spent $21.8 million in SG&A year-to-date. Adjusting for project costs and non-cash items, SG&A expense was $25.8 million. This spend does include $3.2 million in unusual items and $1.5 million related to sales and marketing efforts to support our commercial engagement. As a reminder, the remaining of the contracted backlog for Project Capella from Woodside and the DOE for $63.5 million is not included in our liquidity on hand of $108 million. We expect our liquidity on hand to address both our project and working capital needs through the first half of 2024. With that, let me hand it back to Christie for Page 13.
Christie Obiaya: Thank you, Sagar. Before we open it up for Q&A, I want to take a moment to reflect on the significant strides we've made. We have a contracted revenue backlog of over $75 million that serves as a springboard for our future growth. Our addition of 700 megawatts to our pipeline since May is a sign of the market demand and our aggressive progress toward capturing it. Our first project installation is on track toward our goals of groundbreaking by year-end 2023 and mechanical completion by year-end 2024. Our fully operational world-class manufacturing facility in Long Beach, California represents our commitment to excellence in engineering, automation and robotics. None of this will be possible without our strong team who is bringing fresh energy to the challenge. All of our team's actions are aligned to the strategic priorities that I laid out at the beginning of the call. Heliogen's differentiated approach to clean energy is not just a response to market demand, but it's a reimagined way of advancing the energy transition. And the progress that we've made over the past three months highlights the effectiveness of our strategy and also shines the light on our path ahead. So, I want to thank you for your continued support of Heliogen and your belief in our mission. I'm pleased to now open the line to address any questions that you may have.
Operator: [Operator Instructions] Our first question comes from the line of Rob Wertheimer with Melius Research.
Rob Wertheimer: I had one question on the product and then a couple on the pipeline funnel. You mentioned on Slide 6, fully integrated hybrid design. I'm not sure if I'm fully familiar, I wonder if you could expand on what that means just a little bit.
Christie Obiaya: Yes, Rob, absolutely. When we talk about hybrid design, there are actually exist projects in other parts of the world outside the U.S. that combine concentrated solar energy technology with solar PV. And what we can do uniquely is to bring Heliogen's elevation of concentrated solar technology through the artificial intelligence and our hardware innovations to uplevel that further. And for the benefit of combining these two, the concentrated solar plus PV and storage is the fact that you can then leverage the low-cost solar PV in certain parts of the world during the daytime and use that time to then charge off the solar thermal energy storage during the day and then have that be dispatchable at night. So, we found a lot of interest in that solution, and find that could actually be a great fit for many customers looking for that consistent round-the-clock availability along with that low-cost energy.
Rob Wertheimer: That's interesting. Is that inbound interest? I'm not sure if that was one of your strategic focuses, it seems a little bit new. And then just really, does that include concentrated solar energy gathering? Or is it more the heat storage you have that you would add into it?
Christie Obiaya: It's something that we've been exploring. And as we've been testing the market with it, we have found a lot of interest in that as a solution. And then, in terms of the way that we combine the storage, we would have most of the storage is our concentrated solar thermal energy storage, and so it would be thermal, and with some potential for integration of either grid access or battery to the extent necessary. So, if we are looking to firm it up to 100% firm power to meet a customer's need, that would be an option too. So we're really focused on serving the customer depending on their operational requirements. But again, most of the storage would be our CST thermal storage.
Rob Wertheimer: Perfect. Okay. Great. I wanted to move to the commercial activity where it seems like the strategy you kind of put in place, Christie, and the rest of you, as you evolved, seems to be paying off, by which I mean you've got the 34 megawatts and the 20 megawatts, which seem to be more in this [indiscernible] kind of size frame so that downscaled smaller footprint. So a couple of questions there. Can you talk about on those projects in the 34 megawatts and the 20 megawatts buckets, which do seem to be a little bit smaller and more bite-sized, can you talk about the speed of permitting and complexity and proposals and so forth? I know this is all new, so I'm not sure you have metrics on how fast stuff can move to the pipeline, but is it fair to assume that the project complexity is lower than on the big mining or whatever the other ones are? And could you maybe talk about just how fast it could move if it does from one step in the bucket to the next to actually being completed [indiscernible]?
Christie Obiaya: Yes, Rob, absolutely. So it's quite a range that we see. You pointed out the 34 megawatts across six customers. And I would say that's true, your point that, in general, the smaller projects tend to be less complex than the potentially larger projects and we're pleased that we have been able to increase the average capacity per prospective customer in the pipeline. So that's a positive direction. We find that there is a sweet spot, especially for power projects where to leverage the turbine efficiency, you really have to be in the tens of megawatts range for that to make sense. And so in fact, the smaller projects that you see tend to more likely be actually heat or steam projects. So that's one context that I'll provide on your question. And then in terms of timing, it really depends. I would say that for the really large projects, yes, you could be looking at something like 12 to 18 months in terms of what it takes to move a prospect through our sales pipeline. But for smaller projects and nimble customers, we're able to move as quickly as the customer looks like. And so, we look forward to advancing some of these projects to completion.
Rob Wertheimer: And then I know you don't have metrics on how many fall out at different stages of the funnel yet because you're building the funnel so fast here, but do you have any comments on the work that goes into it or the customer commitment that goes into it or how you vet the customers to think about how much of the 34 megawatts and/or the 20 megawatts kind of are likely to come to fruition? I know that's maybe a hard question to answer numerically, but I wonder if you can give a background on it.
Christie Obiaya: Yes, certainly. So background on that is, look, I think any capital project in the world of energy and capital projects, there are always going to be for every project that moves forward, some of that fall by the wayside. And I think that's just the nature of the business because there's -- for every project that gets built, there are some that don't go forward. And those can be for reasons that are both outside our control and sometimes often outside the customer's control. And so for that reason, you will see that over the course of time, there will be net change to the pipeline where things are both added to the pipeline and they fall away from the pipeline, but I would consider that to be natural progressions of any sales process for the type of business that we're in rather than something that's specific to Heliogen. And so, in terms of the way that our pipeline is shaped going forward, I would look for, in general, the health of the pipeline to be moving more from the regeneration to submitted proposals to pre-FID activities, that's the progression that we look forward to. And so it's not necessarily that we're only ever going to be adding to the pipeline. And then, going to the second piece of your question, in terms of how we prioritize customers, for us, an ideal customer is someone who is worried about increasing cost and volatility of fossil fuels and looking for a different solution that provides that same consistency of availability with the greater certainty of not having carbon emissions and cost reduction. And so I think a global customer with a footprint requiring some combination of heat and power is definitely a priority for us in terms of how we probably look at our customer base.
Rob Wertheimer: Okay. Perfect. And I'll ask one more and then I'll get back in line. But, on the left end of the chart, the lead generation, obviously, a tremendous amount of progress there. You've been talking to folks for a long time. So, could you give us the criteria or what changed or why we have such a [indiscernible] from what I assume are sort of intangible conversations to tangible? Maybe you could just give us a little bit of background on what the screen was to make it into the 825 megawatts bucket?
Christie Obiaya: Yes. There's a number of screening criteria that we use. There are screening criteria that include both the nature of what the customer is looking to do in terms of, are they needing some -- one or more of heat or power or fuel, and then also aspects of the customer's physical sites. And so for example, if a customer is in the middle of an urban location, in middle of downtown, and that's where they're making their -- whether it's a consumer good or what have you, that's not going to be a strong fit for many types of projects in the energy space, because there's just a land requirement that's there. But for example, we talk to customers who are in [indiscernible] remote places serving mining companies and if you're in that kind of location and you need grid independence and certainty of cost where you're otherwise paying a high cost for diesel or otherwise importing fossil fuels to help fuel your energy requirements, that's something where Heliogen can provide truly a differentiated way to help them meet their energy consumption requirements.
Rob Wertheimer: But then you've been talking to folks, I assume, for the past long while, what [indiscernible] entry into the qualified lead backlog? I mean is your commercial outreach been more successful in some way that makes it into the slide, if you see that?
Christie Obiaya: Yes. Okay. So that's a great question. Many of the customers that are in the 825 megawatts are actually brand new since May. There are some that we've been talking to for a period of time, and the ones that are new, I think what we've been able to do is to really focus our offering more [indiscernible], we came out to the market with our first available steam unit. And then with the power offering, which, as we talked about earlier, has the opportunity to combine both CST or CSP and solar PV, that's another way of being able to meet customers' needs in a different way for power. And so, I think over the course of time, you're going to see that our pipeline will shift more towards power in the medium term because the market is -- the market demand is just so significant. And I think we have a unique way of meeting that demand.
Rob Wertheimer: Got it. Thank you.
Christie Obiaya: Thanks, Rob.
Operator: Thank you. Our next question comes from the line of Jeff Grampp with Alliance Global Partners.
Jeff Grampp: And first, I just want to commend you all for putting forth a lot more transparency and visibility on the pipeline. That's super helpful and exciting to see. Continuing on kind of that last comment, Christie, just wanted to peel the onion back a bit more on the robust growth in the pipeline over the last several months. Is that purely attributable to a shift in the sales strategy? Is that for the derisking of the technology? A shift in kind of the offering? Is there a way to kind of -- I know it's probably hard to attribute discretely to each of those, but just looking for more detail on what's driving so much of that growth over the last few months.
Christie Obiaya: Yes, Jeff, thanks for the question. If I could boil it down to one word, I would say focus. It's about the sales team and our overall commercial effort being more focused on the type of customers that the fit and on customers that are interested in moving quickly to capitalize on what's out there on both carbon reduction opportunity and from a financial perspective. And then it's really our team's effort in hitting the market with a more focused product offering as well and having that be consistent.
Jeff Grampp: Got it. That's very helpful. And within the current pipeline, the 825 megawatts, I'm curious if any of those currently include a PV component? And when you guys use that term kind of a hybrid project, should we think about that as integrating things including your AI and software on the PV side as well? Is that a little bit earlier stage of something to think about? Or -- yes, just hoping to get a little bit more detail on the PV component there.
Christie Obiaya: Sure. In the 825 megawatts, there are prospects that we're having dialogue with on this hybrid approach. And so yes, that does include the hybrid offering. And in terms of the way that we integrate our AI and our novel hardware, both of those are focused on Heliogen's proprietary CST technology, and so we haven't looked at, at this point, applying that to PV. This is just traditional commercially available PV off-the-shelf, easy to integrate and that sort of thing. There's not anything novel from a purely PV perspective. Really, the novelty is in Heliogen's core IP applied to our concentrated solar technology offering.
Jeff Grampp: Okay. Great. And if I can just sneak one more in. What would you say are the main risks as it relates to the timing milestones on the Capella project? Is it purely just kind of sourcing long lead items, permitting kind of normal things of that nature? Kind of how would you characterize any risks or main milestones that you guys are looking to achieve over the next 12 to 16, 18 months?
Christie Obiaya: Yes, Jeff, I think the ones that you called out, you hit the nail on the head. I think if some of those kind of traditional project milestones that are often referred during the development phase. And then also, it's just an approach of how we're developing the development of the testing process. And so that particular project is -- just to remind folks and give context for folks who are tuning in for the first time, that project is a first demonstration of our next-generation storage technology. And so, we're really excited to be partnering with our customer Woodside Energy on that project. And we have a whole program kind of parallel testing and risk reduction efforts on that technology. And over the course of time, we're going to be deploying those as we continue to develop the actual project site. And so, I think that as we proceed with these milestones, we're going to be completing our front-end engineering design study, which will produce an updated schedule and estimate, and then move towards breaking ground sometime next year.
Operator: Our next question comes from the line of Jaden Williams with Siebert Williams Shank.
Jaden Williams: Just a question about sort of that qualified lead backlog. Is there an ideal sort of cumulative power product capacity or number of customers you'd be targeting? Or ask a little differently, if all of those qualified leads wanted to sign deals tomorrow, what portion do you think you'd be able to support?
Sagar Kurada: Look, I think right now, our objective is to increase our focus on getting contracts in the door. We will -- we do have a fully entitled Heliostat production facility that can produce a lot more than where we are in terms of our contract and backlog today. So, we are excited to reach that capacity. And the quick deployment of increased capacity is something that we would consider at that point. What I can say is that we would be -- we are today equipped to do more than what we have contracted and we want to first get to 100% of that. But to Christie's point, there is a lag time between generating the pipeline to getting it to contract and that -- within that lag time, we'll have a better answer for you on how that translates into reaching the complete entitlement.
Operator: Our next question is a follow-up from Rob Wertheimer with Melius Research.
Rob Wertheimer: Just a couple of small ones. The hydrogen at Proxima, what's the revenue recognition like on that project?
Christie Obiaya: Yes. On that project, Rob, revenue recognition would be once we have the asset in operation that we get paid $10 per kilogram of hydrogen produced. And so, revenue would be recognized over the course of time once that contract is underway and the asset is generating hydrogen. Now if, for example, the project were to be acquired by an equity investor, then we would recognize that revenue -- that revenue recognition would be pulled forward and we could be recognizing at an earlier stage. And so we do have inbound interest from parties interested in participating as an equity investor in that project. And so that's a possibility. But as currently structured, revenue recognition happens based on the offtake contract, which is once the hydrogen is being produced.
Rob Wertheimer: Perfect. And I know it's early to talk about gross margins on projects that you haven't fully brought in the backlog yet, but how are you thinking about pricing on this? I know you have a lot of manufacturing talent. I know you have a factory that can ramp up pretty far and your costs will come down over time. Anyway, how do you think about gross margin on early projects? Whether you get people -- how do you think about gross margin on early projects?
Sagar Kurada: Yes, of course. I love that you came back to that question three times over in the same dialogue. But look, I think -- but we are intently focused on delivering gross margin. We believe that in the next couple of years as we ramp up our production and to the conversation we had earlier, get more contracts through the door within the forecasted period when over the next three years, we expect to get there. My view on gross margin is we have today a compelling product that can demand market pricing. And we are coming down the cost curve as we ramp up our manufacturing facility to entitlement. We'll be presenting more of that detail over the course of this year as we come back to you periodically. But there are no projects that we would be considering in the long term that would not be yielding gross margin both on a project basis and on an aggregate basis. Today, we are expanding our market share. So there is a level of flexibility we demonstrate on that in order to ensure that our technology is more present and prominent versus other incumbents. And for that reason, there is a fine balance between margin versus revenue, but we'll keep you posted as new contracts come through the door.
Operator: Thank you. We have no more phone questions, but we do have one question submitted from the audience. How are you reaching out to potential customers to use this technology? Is your sales approach based on the potential of the technology or the vital importance that an alternative technology must be implemented sooner rather than later?
Christie Obiaya: Thank you, operator. We are -- to address that question, we are absolutely meeting and selling on the basis of necessity. We have found that industrial consumers of energy without exception are driven by economics, and that includes both their operational requirements and their own cost benefit assessment looking at the value of what our solutions can provide financially in terms of carbon reduction, and they do look at both now and in the future. Now there may also be emotion involved. In fact, one of our customer executives told us that he's excited to work with our technology because he said, "I know that I owe it to my kids that helps us to plan on a better path than it's been on." But ultimately, the way that we approach sales is to show how Heliogen can deliver dispatchable, high-capacity factor clean energy to help customers both meet their operational and their carbon reduction and financial objectives. And so that's -- hopefully, that addresses that question from the investor. With that, I understand that was the last question that we had coming in. And so, I wanted to thank everyone again for tuning in and for your support of Heliogen, and we look forward to the next business update for you all. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.